Operator: Hello, and welcome to the Edgewell Personal Care Fourth Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Chris Gough, Vice President of Investor Relations. Please go ahead.
Chris Gough: Good morning, everyone, and thank you for joining us this morning for Edgewell's fourth quarter and fiscal year 2023 earnings call. With me this morning are Rod Little, our President and Chief Executive Officer, and Dan Sullivan, our Chief Financial Officer. Rod will kick off the call, then hand it over to Dan to discuss our results and full year fiscal 2024 outlook, before we transition to Q&A. This call is being recorded and will be available for replay via our website, www.edgewell.com. During the call, we may make statements about our expectations for future plans and performance. This might include future sales, earnings, advertising and promotional spending, product launches, savings and costs related to restructuring and repositioning actions, acquisitions and integrations, changes to our working capital metrics, currency fluctuations, commodity costs, category value, future plans for return of capital to shareholders, and more. Any such statements are forward-looking statements for the purposes of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995, which reflect our current views with respect to future events, plans or prospects. These statements are based on assumptions and are subject to various risks and uncertainties, including those described under the caption Risk Factors in our annual report on Form 10-K for the year ended September 30, 2022, as may be amended in our quarterly reports on Form 10-Q, which is on file with the SEC. These risks may cause our actual results to be materially different from those expressed or implied by our forward-looking statements. We do not assume any obligation to update or revise any of these forward-looking statements to reflect new events or circumstances except as required by law. During this call, we will refer to certain non-GAAP financial measures. These non-GAAP measures are not prepared in accordance with Generally Accepted Accounting Principles. The reconciliation of the non-GAAP financial measures to the most directly comparable GAAP measures is shown in our press release issued earlier today, which is available at the Investor Relations section of our website. This non-GAAP information is provided as a supplement to, not as a substitute for, or as superior to measures of financial performance prepared in accordance with GAAP. However, management believes these non-GAAP measures provide investors with valuable information on the underlying trends of our business. With that, I'd like to turn the call over to Rod.
Rod Little: Thanks, Chris. Good morning, everyone and thanks for joining us on our fourth quarter and fiscal 2023 year-end earnings call. 2023 provides further evidence of progress in the transformation of our business, was evidenced by a stronger portfolio of brands, markedly better retail presence and improved commercial activation and execution. In 2023, we delivered our third consecutive year of mid-single-digit organic net sales growth, once again outpacing our long-term algorithm. We remain disciplined in the face of rising macroeconomic challenges, accelerated our cost savings efforts, realize meaningful price gains across the business and generated healthy cash flow. We continue to operate with both focus and urgency, all of which positions us for another year of top and bottom-line growth in fiscal 2024. For fiscal 2023 our organic growth was broad-based as we grew in all segments of the business and across both North America and international. Amidst a challenging macro environment, we again focused on controlling the controllables, further driving costs out of the business and investing with discipline, all of which underpin constant currency, adjusted earnings per share and adjusted EBITDA growth of 14% and 9% respectively. We generated $170 million in free cash flow enabling the continued investment in the business, supporting our capital allocation strategy and meaningful debt repayment. The fourth quarter played out as expected. The consumer remained resilient and as we exit the fiscal year, our categories are largely healthy. Aggregate consumption across our US segment increased 5.5% in the quarter. Market share performance was solid, as we held share across the portfolio in the US, highlighted by gains in our women's systems, men's systems and disposables businesses, while we held share in Sun Care. In the quarter, we delivered organic net sales growth in line with our expectations and adjusted earnings per share and adjusted EBITDA growth ahead of our outlook. Since the initiation of our growth strategy in November of 2020, our business has delivered consistent top line growth fueled by a stronger portfolio of brands and underpinned by the strides, we have made across brand building, product innovation, retail execution and e-commerce activation. We have fundamentally reshaped our leadership team and organization. We strengthened our critical capabilities in areas like digital, brand building and retail execution. Our focus on consumer-centric innovation, and new product development has improved, with the acquisition of the disruptive brand building capabilities of the Cremo and Ville teams. And more recently in international markets, we are realizing the benefits from our revised simplified go-to-market approach, with better capabilities and execution. Overall, we exit fiscal 2023, with a stronger more capable team that is better equipped to drive the next phase of our transformation. Over that same three-year time horizon organic net sales growth has been driven by a healthy combination of growth from both unit volume and price. Importantly, the composition of our growth has been consistent with our long-term profile, as we benefit from the portfolio shift towards higher growth categories. Our right to win businesses, which include Sun Care Grooming and Skin Care have increased organic net sales by double digits on a three-year CAGR basis, with those businesses now approaching one-third of total company sales compared to just 25% of sales when we launched the strategy three years ago. And we've also made good progress, with our right to plan portfolio taking a historically declining subset of our business in Shave and Sun care and delivering organic net sales growth of over 1% on a three-year CAGR. These results and the progress, we've made since outlining our long-term vision and growth goals in 2020, demonstrate that our strategy is working. And though our transformation is not complete, we believe we are firmly on the right trajectory and have confidence that we can continue to drive sustained growth and lasting value creation. Before moving to our outlook for 2024, I'd like to thank our teams across the globe for their dedication, and for their continued focus on delighting our consumers and executing our strategy over the past three years. This has been an incredibly difficult period to deliver on a transformation, as we face significant macroeconomic challenges including, a global pandemic, supply chain disruption, once in a generation levels of cost inflation, currency headwinds and more. Despite this, our team's focus and resilience has put us in the improved position we are in today. Now, I'd like to turn to the new fiscal year and provide some insight into our plans and then Dan will take you through the detailed assumptions. Our outlook for fiscal 2024, calls for further top and bottom-line growth, reflecting four core drivers: first, continued organic sales growth. Our outlook is for organic net sales growth in the range of plus 2% to plus 4%, with growth again expected across both North America and international markets and driven by a mix of higher volumes and price and revenue management; second, further gross margin accretion, driven by our productivity initiatives and further price and revenue management, which is expected to more than offset continued cost of goods inflation and currency headwinds. Third, we plan to increase investment in our brands and organization capabilities, with advertising and promotion spending expected to increase in a disciplined and prioritized cadence growing both in dollars and as a rate of sale. We plan to prioritize our incremental investments across critical brand initiatives including supporting the Billie brands, move into adjacent body categories, compelling innovation in Sun Care and the re-platforming of our Fem Care master brand strategy. And lastly, we anticipate improved operating margin driven by gross margin expansion and improved SG&A, as a rate of sale, which will benefit from operational leverage as we improved efficiency across the organization. This outlook calls for strong earnings growth, substantial free cash flow generation and a disciplined approach to capital allocation and continued deleveraging of the business. We are confident, we can deliver on this outlook, given our improved go-to-market position across our portfolio of brands and the markets in which we operate, creating we believe a very compelling value proposition for shareholders. And now, I'd like to ask Dan to take you through our fourth quarter and full year results and also provide some additional detail on our outlook for fiscal 2024. Dan?
Dan Sullivan : Thank you, Rod. Good morning everyone. As you just heard, we're pleased with both our financial and operational performance in the quarter and for the full year. And while there's always more to do, the fundamental improvements we've made across the business are delivering the expected results, and give us confidence that the strategic choices we've made are driving the desired outcomes. While consumer demand was reasonably healthy for the year, the broader macro environment was challenging, further pressuring financial results and requiring both urgency and agility. In 2023, our business model absorbed approximately $125 million in incremental pre-tax headwinds from COGS inflation, currency movements, and higher interest expense, and we responded by realizing significant productivity savings executing price actions across the portfolio driving mid single-digit organic sales growth and a 3x increase in free cash flow generation, all of which underpinned constant currency EPS growth of 14%. We're proud of this operational performance in a very difficult macro environment. Now let me turn to the detailed results for the quarter and the fiscal year. Organic net sales decreased 1.9% in Q4 with fairly consistent percentage declines in both North America and international markets. The results were as we expected, reflecting three specific transitory items previously referenced. First, the planned inventory buydown at wholesale in our Wet Shave business in Japan, which alone had an approximate 2.5-point impact on total company organic sales in the quarter; second, the negative effect of weather across the peak of the U.S. Suns. And lastly, cycling the spike in demand in Q4 last year in fem care as retailer inventory levels normalized after a period of supply disruption. We continue to see the benefit from higher pricing in the quarter though that was more than offset by a mid single-digit decline in volumes largely due to the items just mentioned. Wet Shave organic net sales were down 2.3% with North America essentially flat while international declined approximately 4% which was largely a result of the inventory buydown in Japan completed in the fourth quarter. In the U.S., razors and blades category, consumption was up 1.8% in the quarter and our market share in aggregate increased 60 basis points with meaningful gains in our Women's Systems portfolio led by continued strong Billie share performance. The brand continues to gain share as it expands in retail and has now reached about a 10 share of the category. And despite the heightened competitive environment on shelf, our volume share gains of 330 basis points were above trend. We also saw modest share gains in our men's systems and disposable businesses in the quarter, a marked improvement in trends. Sun and Skin Care organic net sales increased 1.1% as strong growth in grooming, Wet Ones and double-digit growth in international Sun Care was partly offset by declines in North America Sun Care of about 14%. In the U.S., the declines were largely as expected and were a result of poor weather conditions earlier in the season, which led to lower retail replenishment orders particularly at Walmart. International Sun Care sales increased nearly 12%, despite cycling over 60% growth last year driven by both price and volume gains as we continue to see strong growth in Latin America. In the U.S., Sun Care category consumption was up approximately 11% rebounding from the sluggish results last quarter. Importantly, our Sun Care portfolio-maintained market share in the quarter and Banana Boat retained its number one share position. Roaming organic net sales increased about 10% led by crema growth in North America and Bodo growth internationally. Wet One's organic net sales grew over 8% and our share was approximately 80%. Fem Care organic net sales were down 5.5% for the quarter as mid single-digit price gains were offset by lower volumes. The category continues to cycle through last year's spikes in demand and the resulting out of stocks on shelf. And we exited the year in a better position in terms of supply and demand and inventory levels on shelf. For the year consumption in the category was up just under 5% and our share of the market was essentially flat. Now moving down the P&L. Gross margin on an adjusted basis increased 135 basis points, or 225 basis points at constant currency. In the quarter, earnings from price execution fully offset persistent yet easing COGS inflation. Approximately 300 basis points of price gains and 265 basis points of productivity savings helped to offset a 225-basis point headwind from inflationary pressures and 115 basis point impact from negative category end market mix and other items. A&P expenses were 7.5% of net sales and broadly in line with the prior year. Adjusted SG&A increased 260 basis points in rate of sale versus last year, as higher incentive compensation and people-related costs and the impact of unfavorable currency movements were only partially offset by savings realized from ongoing operational efficiency programs. Adjusted operating income was $60.8 million compared to $66.6 million last year. GAAP diluted net earnings per share were $0.57 compared to $0.64 in the fourth quarter of fiscal '22 and adjusted earnings per share were $0.72 compared to $0.79 in the prior year period, including an estimated $0.09 impact from unfavorable currency. Adjusted EBITDA was $83.8 million compared to $94.7 million in the prior year inclusive of an estimated $6 million unfavorable impact from currency. Cash flow generation was strong in the quarter and net cash from operating activities for the full year ended September 30 more than doubled to $216 million compared to $102 million in the prior year. We ended the quarter with $216 million in cash on hand access to the $297 million undrawn portion of our credit facility and a net debt leverage ratio of 3.4 times. In the quarter, share repurchases totaled $30 million. We continued our quarterly dividend payout and declared another cash dividend of $0.15 per share for the fourth quarter. In total, we returned nearly $38 million to shareholders during the quarter and $107 million for the full year. Now let me turn briefly to our full year results. Organic net sales for the year increased 4.3%. Our right to win portfolio grew almost 11%, fueled by 12% growth in Sun Care driven by both international and North America markets, while our Grooming brands grew just over 9% for the year. Our right-to-play portfolio delivered its third consecutive year of organic sales growth growing at about 2%. From a geographic perspective, organic net sales increased in North America by 3%, driven by increased pricing, while international markets grew over 6% realizing both volume and price gains. Importantly, our in-market performance was again solid and value market share across key global markets remained stable in fiscal '23. In the US, aggregate market share declined about 40 basis points primarily reflective of the expected decline in Sun Care as competitive products return to shelf following last year's product recalls. Our aggregate market share on a volume basis increased 80 basis points for the year. Importantly, our market share performance in the US improved as the year progressed. And as mentioned, we held share in aggregate in the fourth quarter. In international markets, share results were also stable, with strong performance in key markets such as Germany, where we saw healthy share gains across the full shave portfolio of men's, women's and disposables. Our Sun Care portfolio performed well outside of the US also, led by share gains in Canada and Germany and meaningful consumption growth in Mexico and Australia. Adjusted gross margin rate decreased 20 basis points year-on-year, positive pricing of just over 300 basis points and productivity savings of 230 basis points were more than offset by 400 basis points of higher COGS inflation, a 100 basis points of unfavorable currency and 55 basis points of negative mix. On a constant currency basis, adjusted gross margin expanded 80 basis points year-on-year. A&P expense was 10.2% as a rate of sale as we continue to invest behind our brands. A&P spend levels were below prior year in part due to a reduction in activation costs for Sun Care related to the lower replenishment orders late in the season. Adjusted operating profit increased $13 million or 6% and operating margin for the year was 10.8%, up 20 basis points in rate of sale and inclusive of $27 million unfavorable impact from currency. On a constant currency basis, OP margin increased 130 basis points year-over-year. Now turning to our outlook for fiscal 2024. As we enter year four of our transformation, we're increasingly confident in our ability to deliver sustainable top line growth, continued gross margin accretion and further profit growth. While inflation is easing it will remain a headwind in 2024, as will form currency given the expected strong dollar. In this challenging and somewhat increasingly uncertain environment, we will continue to focus on the fundamentals and manage the aspects of the business that are directly in our control. For the fiscal year, we anticipate organic net sales growth to be in the range of 2% to 4% with similar growth rates in half one and half two. Growth is expected to come from both price and volume, although this will vary by geography and segment. We anticipate reported net sales to be up 1% to 3% inclusive of about 60 basis points of currency headwinds. As we look to adjusted gross margin, we anticipate about 80 basis points of year-over-year rate accretion or 100 basis points at constant currency. However, we expect gross margin to decline approximately 160 basis points in the first quarter due to the timing of the release of unit cost inflation currently trapped in inventory as well as the result of unfavorable absorption impacts compared to the prior year, as a result of our decision to structurally reduce inventory levels in 2024 after a prolonged period of inventory build coming out of the pandemic. We expect approximately 200 basis points of productivity and 100 basis points of price gains to more than offset approximately 130 basis points of COGS inflation, 50 basis points impact from the unfavorable absorption, 20 basis points of negative mix and 20 basis points of unfavorable currency. We remain committed to investing in our brands through A&P to support our growth outlook, with A&P expected to increase in both dollars and rate of sale to approximately 11%. Adjusted operating profit margin is expected to increase approximately 50 basis points inclusive about 10 basis points of unfavorable FX, though we expect significant operating margin rate contraction in the first quarter. Adjusted EPS is expected to be in the range of $2.65 to $2.85 inclusive of approximately $0.20 per share of currency headwinds, an increase of over 7% at the midpoint of the range or 15% in constant currency. The EPS outlook reflects the impact of share repurchases of approximately $50 million and an assumed effective tax rate of 22%. Adjusted EBITDA is expected to be in the range of $340 million to $352 million inclusive of an estimated $14 million currency headwinds. On a constant currency basis, adjusted EBITDA growth at the midpoint of the range is expected to be approximately 6%. In terms of phasing, we expect organic net sales growth in half one to be largely consistent with half two and that we will generate about 70% of our full year adjusted EPS in half two of the fiscal year, with Q1 adjusted EPS meaningfully below prior year. And finally, free cash flow for the year is expected to be approximately $170 million. For more information related to our fiscal 2024 outlook, I would refer you to the press release. And now I'd like to return the call to the operator for the Q&A session.
Operator: We will now begin the question-and-answer session [Operator Instructions] Our first question comes from Peter Grom of UBS. Please go ahead.
Bryan Adams: Hey, good morning, guys. This is Bryan Adams on for Peter Grom. Thanks for taking the question. So just on the 2% to 4% organic range for 2024. I'm curious as we stand today, what you guys see as the biggest flex point looking out to next year? Is it the consumer or outcomes at shelf or something else? Thanks.
Dan Sullivan: Good morning, Bryan. I think the outcomes at shelf. We don't have full visibility to that one yet we're in that cycle right now. Example I was with top retailer yesterday talking about our plans for next year. So [indiscernible] shelf outcomes not going to be a driver I don't believe. I think we'll have distribution kind of where we have it this year some puts and takes probably a little better in some cases in total is our view there. That's baked into the plan. The consumer, we've had healthy categories in quarter four in line with the past 52-week trend rate. So the consumer has been resilient and healthy to this point. Our categories are healthy. We've planned for that to continue. But as you might imagine within the guide range, if the consumer gets hit -- that might take us towards the lower end of the guide range we're not planning -- we're not expecting that at that midpoint and three but it is possible maybe even probable depending on which economic outlook you see. So I think the consumer health is probably the biggest thing that puts variability into our growth projection. And I believe at this moment that's more of a US comment for us I believe outside the US in our categories the consumers potentially relatively healthier as we're still seeing some recovery in some of the international markets.
Chris Gough: And Brian the only thing I would add just maybe to answer the question the other way, we said in the remarks we expect about three points at the midpoint of organic growth. You can kind of think about that the way we've modeled it is two-third of that through price and one-third through volume. Within the price piece I would say that about half of that is carryover price and about half of that is new which we have a really good line of sight to and feel really good about execution. So if you kind of think about organic through the lens of price and volume what we've modeled and contemplated around price has a high degree of confidence in it on our side.
Bryan Adams: Okay. Awesome. Thank you. both. And then one more quick one on A&P if you don't mind. I think this time last year you guys were expecting A&P for 2023 to come in at around 11.6% for the year. Obviously, it came in lower. I know you mentioned some lower activation costs in Sun Care here with the lower replenishment orders. But now we're expecting 11% for 2024. So I'm just curious what's kind of changed in the way you guys are thinking about that level of A&P here?
Dan Sullivan: Yes. Look I think in principle I know A&P as a topic gets a lot of attention as it should. Our stance is pretty consistent Brian. We're going to remain very disciplined in our approach of where we allocate dollars and what we place bets behind. And we're going to continue to be return-driven. So said another way where we feel like there's a high degree of execution and opportunity and where we feel like we can get really good returns we're going to do that, right? And that's going to obviously sort of weigh differently by quarter, by brand, by segment, by geography. As we look forward I think you're seeing a couple of things happening. We are getting much better at efficiency of spend predominantly digital activation much better clarity for us around where to deploy the next dollar and what returns it will generate. We're getting far more productive spend less non-working dollars, more working dollars and so we're able to bifurcate within our thinking what are we investing behind on a structural level day-to-day brand support retail activation and what big bets are we placing. And in 2024 we've got a pretty good line of sight around three initiatives that are getting significant spend which is around the work in our fem care business to re-platform the portfolio behind carefree, exciting innovation in Sun and Billie making its play into the body category if you will on a retail pilot. So we do feel like there's ample support behind the core of the business now that we are a healthier portfolio and adequate spend behind big commercial bets and activation.
Bryan Adams: Awesome. Really helpful, guys. I will pass it on.
Dan Sullivan: Thanks.
Chris Gough: Thank you, Dan. Operator, next question, please.
Operator: Our next question comes from Susan Anderson from Canaccord. Please go ahead. 
Susan Anderson: Hi. Good morning. Thanks for taking my questions. I had a quick question on the gross margin for first quarter. I guess how much of the decline is to clear through the excess inventory? And I guess what categories is that mainly in versus a higher-cost product that's in the inventory base currently? And then also do you still have productivity savings flowing through in gross margin for this year?
Dan Sullivan: Yes. Good morning, Susan. Its Dan. So I'll take them in reverse order. Yes on the productivity savings we are contemplating another year of meaningful savings. We've estimated it at about 200 basis points for the year, fairly consistent quarter-over-quarter. So, the answer there is yes. On the margin profile and I'm just going to ladder up for a minute because I think it's important to capture all of the elements and then I'll speak to Q1. We continue to see and have a really good line of sight to the structural elements of margin. In other words, inflationary concerns and pressures which are absolutely easing, but we are not yet net-net deflationary. So, there are still headwinds in 2024. We've sized that at about 130 basis points. FX headwinds will continue although moderate versus 2023 levels. And then the offsets around pricing and productivity. Pricing we estimate about 100 basis points of further tailwinds and then the productivity as I mentioned 200. So, really good line of sight to that. I think if you look back at 2023 and what we said a year ago, we're pretty close to the mark on all of those elements. So, we feel confident that structural margin improvement is happening and therefore margin accretion is realistic. To your question on Q1, you've got two different headwinds that disproportionately are affecting Q1, hence the margin step back. One you mentioned which is costs that are tied up in inventory that still need to pull through that still carry what I'll call excessive inflation with them Sun Care would be a great example of that, right? If you think about the Ryzen Sun Chemicals, which was double-digits for most of the year last year and then you think about the fourth quarter where we didn't ship what we would have expected to ship you've got a higher inventory level in Sun with disproportionately higher inflation trapped there that needs to come out. The second item though is around absorption. And we've called this out just to be transparent and give everyone the puts and takes. We are estimating about a 50 basis point full year headwind around absorption and that's really related to our decision to structurally reduce inventory levels. We will take just over 10 days of inventory out but that's disproportionately felt where we manufacture Shave and Sun and we expect that to happen largely in the first quarter. So, you've got the step back in margin. You've got the trailing effect of the high inflation items trapped in inventory and you've got the structural decision to take days out with an absorption hit in the first quarter.
Susan Anderson: Okay, great. That’s really helpful. And then just really quick at retail I guess on the Sun category. I think it ended up maybe being a little bit better at retail. So, do you guys feel like the inventory did you end the quarter in a much better position than when you started? Or is there still some to clear through there? And then also just on the Fem Care side, if I understood it right, it sounds like maybe a little bit too much inventory there also at retail. Was that a category because I know there was obviously some supply chain issues. Did the retailers kind of restock too much and now just kind of need to level that out?
Dan Sullivan: Yes, I'll start with the Sun Care point. And I think you're right. Look the category came back quite well in the fourth quarter. It was up 11%. And you saw the good weather across most of the US and consumption followed that. What we saw in -- we called out lower replenishment orders anticipating this in the quarter. That was largely a Walmart discussion. And Walmart performed quite well in the Sun Care category. We lost share at Walmart. We lost share in the quarter and yet we held share total retail in Q4. So, I think it speaks to where we were on shelf, where we had adequate inventory the consumer responded quite well. To your point on total inventory levels, we feel quite good. We're exiting the year in a really healthy spot going into next year's sun season. So, no expected overhang there. On Fem Care, yes, I think it's a good way to think about it. There was a small sort of take down of inventory on shelf mostly around Playtech sport. But again, I think we entered the year maybe not in a perfect inventory position because we still cycle through this choppiness around supply and demand in the broader category but in a healthier position than a year ago.
Susan Anderson: Okay, great. Thanks so much for all the details. Good luck for rest of the year.
Dan Sullivan: Thank you.
Rod Little: Thank you, Susan. Operator, next question please.
Operator: The next question comes from Chris Carey of Wells Fargo Securities. Please go ahead.
Chris Carey: Hi, good morning guys. So, just on this inventory dynamic. So, can you just maybe help us understand volume cadence through the year confidence around volumes? And then, how much is dependent on better sell-through such that you can get back to shipping in line with consumption gas? Just any sort of help on volume assumptions. And how we should be thinking about selling or sell-through which is typically I think what comes to mind when we hear inventory corrections and these sorts of things.
Rod Little: Yeah. So -- Chris, Good morning, we don't have an inventory issue. I don't think at retail or in our own system. I think we finished fiscal 2023, in a very good position. And as you know, we took some very aggressive steps within fiscal 2023 to address the situation specifically in Japan, where we right-sized the inventory that was out there with wholesalers and retailers in Japan. It was a material impact three points of growth on quarter four for example, that we cleaned up in 2023. That wasn't in our original guide by the way, when we put that out there. So we cleaned that up and there were other cleanups that we did around the world. Headline here is from an inventory perspective of what we know is at retail, in every category and every country. And what we have in our system here we're clean and good. There's no inventory bubble or issued to correct as we get into 2024. As you look at volumes, and you get into where we've come from in fiscal 2023, we delivered our 4% with roughly 500 basis points of pricing volume down 100 basis points. So that's what's happened over the past 12 months. As we now flip into what we have line of sight to for 2024, as Dan referenced earlier in our three points at the midpoint projection for net sales growth on an organic basis we have about 100 basis points of that being volume and 200 being a combination of price revenue management mix all of those things. And so it's effectively a 200 basis point step-up in unit volume. And it's a combination of everything. You have to look category, by country. It's a very different outcome, as you might imagine, as you look at it. But broadly, as we have less pricing in than we did a year ago, we see some volume recovery as we play that out. I think we're confident in our forward-looking 3% and how it builds out. Dan, I don't know if you have anything.
Dan Sullivan: Yeah. No, all good comments, Rod. Chris, I would add a couple of things. Just on our volume outlook. I think it's -- there's two fundamental drivers to this call it one point of growth that we're going to anticipate in organic. So I think one of the drivers is some of the new and exciting brand portfolio product that you heard us talk about in the prepared remarks whether that's innovation in Sun, whether that's the new Carefree master brand launch both of which we think come with incremental distribution or whether it's the Billie play now, as it moves into its rightful place outside of Shave also new distribution. So there's volume growth in for example, in those three specific areas. And then, kind of the second piece is what Rod alluded to, what we're cycling which is Japan in the fourth quarter where we made the decision to take distributor inventory out. You put those two together that leads to what we would consider about a point of organics coming from volume. How it flights during the year pretty consistent other than the fourth quarter when we step up in volume growth year-over-year again, because we're cycling in Japan. The only other comment I would make is and I think maybe this is just to avoid any confusion that this is -- we're sort of talking about, inventory levels on shelf and also inventory levels for us across the enterprise. We are structurally taking inventory out of the system next year. We have that opportunity now that we're sort of past the COVID time of disruption and supply chain challenges and the like. We think we can deliver the same level of high-service at lower cost and lower inventory burden. So we will do that to the tune of about 10 days, but that's different than the comments Rod was making around retail shelf inventory levels which are far more normalized than they've been. Hopefully, that's helpful.
Chris Carey: That is helpful. One follow-up would be, I believe you said, that you're expecting SG&A leverage in fiscal 2024, so SG&A as a percentage of sales down year-over-year. You had mid-single-digit growth in fiscal 2023 and it was up. Is the volume leverage a key component of that? Or are there other factors that you have in your control like savings or other initiatives that are giving that confidence? Thanks.
Rod Little: Yeah. So good question on G&A, because I think there's been some math challenges here. I think total G&A for the year 2024 on a dollar basis, Chris we're profiling basically flat dollars. And the way that we get there is factoring in all of the inflationary challenges continued merit increases and everything that comes with that, being offset dollar for dollar by structural cost reduction, part of our continued efforts to become more productive and more efficient. And we feel pretty good about that. The work has been done. We have a line of sight to the savings. We're actually executing many of these steps this week. So you've got a model that says inflation is getting offset dollar-for-dollar by structural cost reduction. Then along comes the growth profile and there's your leverage. The one thing I would also call out is, if you want to get what we think is a good proxy for quarterly G&A levels, I would look to Q2, Q3 of last year $102 million, $103 million as a really good proxy. We will see a step-up in Q1 this year against last year mostly because we're cycling some good guys that hit in 2023 related to changes in compensation and benefits. And as we disclosed, we had a step-up in Q4 of 2023 mostly related to higher incentive costs. So there's some choppiness by quarter, but I think flat year-over-year is what we see Q2, Q3 levels being the proxy for each of the quarters in 2024 is what we see.
Dan Sullivan: And Chris, I would just ladder up on the SG&A point because you're making a good point here on the leverage and how it comes together. We're seeing leverage right as we put this together which is good. And I think we're excited about that. But as we look at SG&A more broadly, we look at the forward-looking period and say we need to control what we can control and SG&A as much as anything else is in our control. And so we've been very focused on being smart and very efficient with how we allocate spend for next year. But we also have lots of opportunity as we reduce cost to actually improve the effectiveness of how we run the business. And so I'll just give you two examples. We're eliminating layers that exist in the business today. Historically, we've had an international layer between the global leadership team and the local markets in our international markets. We've effectively eliminated that layer. And as a result, in addition to having better leadership capability and talent in the local markets, we've now got a direct connection. It's faster. It's simpler. There's less handoffs. It actually ends up leading to a better result. And I think some of what you're seeing in our international markets and the growth rates you're seeing come out of those markets is a direct result from that change. Equally, as we talk about innovation -- we have historically had a global structure in this company that built innovation, and then flowed that down to local markets. The path from a consumer insight to a product or an offering or a solution to a consumer has been very long slow with too many handoffs, as we eliminate some of those handoffs and streamline and delayer that innovation process, A it's cheaper, but B it's better. It's faster and ultimately than what we put in the market and better received by consumers. So I guess, we have good fortune by having a historical structure and setup that offers opportunity for cost reduction, but at the same time for better outcomes on the sales line.
Chris Carey: That's comprehensive, and thank you very much.
Chris Gough: Thanks, Chris. Operator, next question, please.
Operator: Our next question comes from Dara Mohsenian from Morgan Stanley.
Dara Mohsenian: Hello?
Operator: Please go ahead, Dara.
Dara Mohsenian: Hey, guys. Can you hear me?
Rod Little: We can hear you.
Dan Sullivan: Hi, Dara. Good morning.
Dara Mohsenian: So I just wanted to return to the subject of ad spend, I totally get the point about the internal efficiencies, but we've seen your HPC peers really increased spend at pretty significant rates this year sort of in the opposite direction granted some of those are direct competitors but you're now basically at a level or expecting to beta level this year that's at or below a lot of your HPC peers despite them being larger and theoretically having more leverage as a percent of sales. So just want to get longer-term context is 11% of sales really the right level? Should that go back up over time? And then just be near term with the increases we're seeing elsewhere in the industry, are you comfortable with the share of voice in your categories? And how do you think about that short term? Thanks.
Rod Little: So Dara, I think the 11% that you see that we've got in our outlook for 2024 that is roughly one point at a rate of sale of improvement year-over-year. And so as we've landed 2023 and we look forward to 2024, we definitely believe much like you've seen in reference from some of our peers, it's a good time to lean in and increase ad spend which we're doing. And we're being very intentional and specific on where we're doing that. Dan referenced it before. We've got an expansion opportunity with a strong Billie-Shave business now that's roughly 10% market share after the national rollout which has been very successful. We've earned the right to take that brand into adjacencies and we've got good acceptance from a lead retailer that we'll do that with here in the year ahead. We'll fund that. We will have what I believe will be the number one innovation in Sun Care this coming year around a form factor change. It's super interesting. We've had good retailer reaction to it. The consumer testing we have on it is very strong. We're going to lean in and spend behind that. And then Dan also referenced a carefree master brand redo where we're going to strengthen that brand. We're going to simplify the structure of the portfolio and the brand lineup. And we've had great retailer response to that lead to some incremental distribution around that. We think the consumer is going to love it as well. It's going to be a simpler category to shop. So we're leaning into those three areas. And then we're also incrementally funding some shave opportunities that we think are interesting as well. So it's a very balanced spend. It's a very disciplined approach. It's a more in-house model than we traditionally have in the past. So we have paid agencies to do things for us. And frankly it's not been super effective. We've in-housed a lot of that which is cheaper and sometimes it's a model shift out of A&P to G&A as well. So we have some of that going on. But the other thing I would leave you with is when you factor out our private brands group which takes 0 A&P support and has effectively contribution margin average that 11% looks more like 12% even slightly over 12% on an adjusted basis for that fact. Dan?
Dan Sullivan: Yeah. All good point. Dara the only thing I would add maybe just for how we think about our business model. I think 2024 is a really good example. You've got top line growth, you've got gross margin accretion, you've got leverage in your G&A line and that gross margin accretion is funding a step-up in A&P spend. That is the model. Now we have to be balanced about that coming out of high inflation and currency headwinds and interest expense. So as Rob said it's a balancing act, but that model of sustainably grow at the top generate margin accretion tight on costs and fund incremental brand investment that is the model and we just need to sort of balance the view of today and some of the macro challenges and the view of tomorrow. All of that goes into how we think about spend.
Dara Mohsenian: Thanks guys.
Rod Little: Hey, thanks, Dara. Operator, next question please.
Operator: The next question comes from Olivia Tong with Raymond James. Please go ahead.
Olivia Tong : Great. Thank you. My question is around gross margin. Obviously, nice to see the expansion that you're expecting for fiscal 2024, but that's obviously still a fair bit below historical level. And then you mentioned in your comments about Q1 and the starting point. So where do you think gross margins can eventually get back to in the driver -- excuse me the drivers to get you there? You mentioned some incremental price. What categories are those price increases going into and the magnitude? And then just what are sort of the building blocks in terms of getting gross margin expansion to continue? Thank you.
Rod Little: Yeah. Thank you, Olivia. I think we remain very committed and I think very confident that we can get back to a 45-plus percent gross margin back into the fiscal 2018, 2019 period if you go back to that time period. And so I think that's more than an ambition. I think it's -- as we work through our forward-looking plans, we've got building blocks to go deliver that. So, very much committed to do that, very much have line of sight to do that. What we don't control is short-term inflationary bumps or potentially deflation if it comes. And the foreign exchange impact that we have on what is a very globally distributed manufacturing and supply chain network, right? And we've had headwinds last year. We've got headwinds again this year hurting gross margin to roughly 100 basis points. So as foreign exchange over time normalizes, as we catch up and get in balance with where inflation in pricing and product offerings are, that will normalize. I see there being kind of three big buckets of building blocks to the margin line. One is continued cost productivity work that we'll have within our manufacturing logistics and distribution network. We still have lots of opportunity to optimize there. So, I think cost productivity will continue to be a driver. The second bucket would be priced in revenue management just good hygiene better capability around that and being accretive to margin every year as a building block as we go forward. And then the third one I would call out is healthier brands better innovation and better brand building showing up on shelf and online when consumers choose our brands. And that's a journey. We're on it. We've made good progress around the desirability of our brand set with consumers. I think that will continue to improve. And with that, we'll become incrementally more pricing, more margin power as we build that out for the future.
Dan Sullivan: Yes. Olivia just to your question on pricing in 2024, I would say to you the pure price lever is disproportionately being seen in international. You can think about markets where we have a leading position in segments so Japan Shave or Mexico Sun where we see further opportunities to take price, some of which has already been executed. I think you also see a piece though disproportionate in North America that Rod referred to around strategic revenue management. So, good promotional efficiency, improved trade terms, just good execution that drives benefit in unit, economics unit revenue. So you see both of those price more in international markets, good revenue management more in North America. That's how we thought about 2024.
Olivia Tong: Thanks very much.
Dan Sullivan: Thanks, Olivia. Operator, next question please.
Operator: [Operator Instructions] With no further questions, this will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Rod Little for any closing remarks.
Rod Little: Yes. Thank you everybody for your time. We look forward to the year ahead and delivering another year at or above algorithm growth rates. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.